Operator: Greetings, and welcome to the Plug Power Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce to your host, Vice President, Marketing and Communications. Thank you. You may begin.
Meryl Fritz: Thank you. Welcome to the 2024 fourth quarter and year-end earnings call. This call will include forward-looking statements. These forward-looking statements contain projections of our future results of operations or a financial position or other forward-looking information. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements and such statements should not be read or understood as a guarantee of future performance or results. Such statements are subject to risks and uncertainties that could cause actual results or performance to differ materially from those discussed as a result of various factors, including, but not limited to risks and uncertainties discussed under Item 1A Risk Factors in our Annual Report on Form 10-K for the fiscal year ending December 31, 2024, as well as other reports we file from time-to-time with the SEC. These forward-looking speak only as of the day in which the statements are made and we do not undertake our intent to update any forward-looking statements after this call or as a result of new information. At this point, I would like to turn the call over to Plug Power's CEO, Andy Marsh.
Andy Marsh: Good morning, and thank you for joining our fourth quarter conference call. Last night, we announced significant structural change to streamline our cost base through Project Quantum Leap. Over the coming months, we'll be reducing staff, refining our product focus, and consolidating facilities. These measures are targeted to generate annualized cost savings of $150 million to $200 million. These decisions are not easy, but they are necessary. The slower than anticipated development in the hydrogen market has been influenced by multiple factors, including the pace of policy implementation, global energy and security driven by geopolitical conflicts, the higher cost of project execution and past over enthusiasm in this sector. However, we remain confident that hydrogen will play a critical role in the future energy mix with many experts projecting, it will eventually contribute 10% to 20% of the world's energy supplies. The projects that will progress the fastest are those with a clear value proposition, strong policy support and a well-integrated value chain. As we assess our businesses, our primary focus moving forward will be on three key areas: material handling, electrolyzers and hydrogen generation to support material handling, as they align best with these attributes. In material handling, we deliver a compelling value proposition by helping customers move goods more efficiently. Plug benefits from three revenue streams in this business: products, services and hydrogen. In 2024, we have made significant improvements in improving margins for service and hydrogen, expanding them by approximately $120 million compared to 2023, excluding the impact of customer warrant charges. Product margins however are tied to sales and factory utilization. Last year, sales were slower as we worked through price renegotiations with major customers and the transition from PPA to direct sales, that process is now complete and we expect increased deployments this year from both existing and new customers, which will improve our facility utilization and drive positive gross margin. Additionally, hydrogen margins will continue improving with the launch of our new joint venture facility in Louisiana this month, while service is on track to reach profitability by year's end. Hydrogen production costs are a critical driver of both our profitability and the broader market development for fuel cells. By the end of this month, Plug will have 39 tons per day of capacity, while customer demand stands at approximately 55 tons per day. The DOE approval for our Limestone plant in Texas, a project creating jobs in a deeply conservative district was secured in January. We’ve already have the necessary equipment to cover our equity investment in the project and are finalizing discussions with an external investors to complete the funding structure. Given the change in administration, we now anticipate a later start in 2025, with project completion expected 18 months to 24 months from the start date. Importantly, we do not plan to contribute additional Plug equity to complete the project and anticipate retaining a 70% to 80% ownership stake once operation. Our electrolyzer business is essential to both our near-term and long-term growth. The primary applications involve replacing gray hydrogen in sectors like refining, green ammonia and methanol production. Global demand remains strong and we expect significant growth in both sales and bookings this year. Notably, we're executing large scale projects including the 100 megawatt deployment with GALP. Here's why I see -- and this is really important, here's why I see tremendous potential in this market for Plug. Unlike some hydrogen fuel cell market, that face challenges across the value chain such as infrastructure, fueling and financing hurdles for on-road vehicles, the replacement of gray hydrogen with green hydrogen is a much simpler transition. Customers can blend green hydrogen to existing processes without major operational changes, which accelerates deployments, speeds up time to markets and you deliver immediate benefits. As we move forward from this restructuring and market adjustments, Plug will prioritize material handling, hydrogen production supporting material handling and electrolyzer sales alongside profitable cash generating assets in well-established markets. If the program is not tied to profitability or cash generation, Plug will not pursue the program in the near or long-term. With that, I'd like to turn the call over to Sanjay to review our Q4 results, followed by Paul, who will provide insights into our financial outlook.
Sanjay Shrestha: Thank you, Andy, and good morning, everyone. 2024 was a year of recalibration for Plug. It included some successes and some challenges. On a positive front, fourth quarter 2024 marked another quarter of meaningful reduction in cash burn, continued gross margin expansion and another step change in growth of our electrolyzer business. Cash burn for the quarter was down year -- over 70% year-over-year and gross profit improved year-over-year when you exclude the non-cash charges of customer warrant and inventory adjustment. It is important to highlight that this margin expansion was accomplished despite lower revenue year-over-year. Now in terms of challenges, market growth, as Andy touched on it has been slower than anticipated. Reported revenue for Q4 '24 came in at $191 million and full year revenue of $629 million. We are disappointed with this continuous [indiscernible] revenue despite significant improvement in sales of the electrolyzer business. We believe it is important to highlight a few key items that negatively impacted revenue in the quarter and for the full year 2024. As we highlighted in our press release issued last night, our application business revenue was impacted by a higher than usual warrant charge of $22.7 million and we had another $8 million of revenue that got pushed out related to a specific customer program in our material handling business. In our cryogenic tanker and trailer business, we actually made a strategic decision not to ship multiple mobile refueler product to a customer in Class 8 truck space given their financial position which negatively impacted revenue by about $16 million in the quarter. In addition, we also had some production delays on few key product line in our cryogenic business that had an impact of about $12 million of revenue in the quarter. Just to reconfirm, this production impact has been already mitigated and will show up as revenue in the first half of 2025. Despite delivering almost six fold revenue growth in the fourth quarter of 2024 versus fourth quarter of 2023, our electrolyzer business in the fourth quarter was negatively impacted by multiple factors, which represented revenue impact of as much as $68 million. We expect some of this revenue to materialize in Q1 of 2025. Majority of this is related to customer delays, site readiness, with some of the projects actually getting pushed to Q2 and Q3 of this year. And frankly, this revenue fluctuation on a quarterly basis in our opinion reflects the early stage of the industry growth as both supplier and customers learn to work together and keep moving projects forward. This factor has had a total impact of over $120 million of revenue in Q4 of 2024. Just to reiterate, we believe some of the electrolyzer opportunity will contribute to revenue in Q1 '25 and majority of the customer pushout will be revenue opportunities in Q2 and Q3 of this year. Production related delays in our cryogenic business have already been addressed and will contribute to revenue opportunity in the first half of 2025. We also expect the revenue pushout from Q4 '24 in our material handling business to contribute to revenue in Q1 of 2025. Based on all these items that impacted Q4 '24, overall seasonality in the first half of our business and overall macroenvironment, we believe our Q1 '25 revenue will be in the range of $125 million to $140 million. You should expect to see continued gross margin improvement. We believe the year of 2025 is set up to be a year of meaningful bookings in our electrolyzer business. As Andy highlighted, given the current macroenvironment, we remain focused on driving cost down, expanding margin, and reducing our cash burn. With that, let me turn the call over to Paul to discuss the financial outlook in some more detail.
Paul Middleton: Thank you, Sanjay. Since Andy addressed some of the broader market issues and Sanjay talked about revenues and margins for the quarter, let me jump into a few specific topics. As conveyed in our filings yesterday, Plug recorded non-cash charges in the quarter of approximately $971 million for asset impairments and bad debt and OpEx, and approximately $104 million in COGS for inventory valuation adjustments. These stem from multiple factors, including the decision to temper focus on certain products and markets that are more mid-term opportunities and overall market conditions resulting in slower growth for the industry than anticipated. In terms of impairments, this relates to property, plant and equipment, intangible assets, non-marketable equity investments, and assets associated with power purchase agreements and fuel. As a result of these impairments, it will reduce future amortization and depreciation, including a reduction of $55 million to $60 million in 2025. In regard to cash burn, we were laser focused on margin and cash flow improvement in 2024 and we saw benefits throughout the year and in particular in Q4 '24. These actions included targeted price increases, labor optimization, rooftop consolidations, improvement in production costs and leveraging our hydrogen platform with our new green hydrogen plant in Georgia coming online. We expect in '25 to include a full year of benefits from these activities undertaken during '24. In addition, we expect initiatives and Project Quantum Leap to provide meaningful incremental improvement in margins and cash flows starting in Q2 of 2025 and building throughout the year. These additional measures will be complemented with the strategic efforts such as our new hydrogen Louisiana plant coming online in Q2 of 2025. We continue to be laser focused on driving deposit margins and cash flows in the near term. In terms of liquidity, we ended 2024 with more cash on hand than we anticipated with over $200 million in unrestricted cash. We recently closed our first ITC transfer sale for the $30 million benefit associated with the liquefier plant -- liquefier at our Georgia green hydrogen plant, illustrating opportunities to leverage additional ITC assets. We have an effectively unleveraged balance sheet and we are currently working with existing partners on varied capital solutions. These factors, coupled with the focus on improvement in margins and cash flows put us in a strong position to achieve our near and mid-term financial goals and fund the company with the most prudent cost efficient capital solutions. I'll now turn it back over to Andy.
Andy Marsh: Okay. I guess, opening for Q&A to you.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your questions.
Colin Rusch: Thanks so much, guys. Can you talk about the maturity of the financing for a number of the projects that you're talking about in that pipeline? The project financing oftentimes is a key gatekeeper, but just want to get a sense of cash flow supporting all of those projects at this point?
Andy Marsh: Why don't you take that, Sanjay?
Sanjay Shrestha: So Colin, are you referring to some of the opportunities on…
Colin Rusch: The electrolyzers.
Sanjay Shrestha: Yeah.
Colin Rusch: Yeah. Exactly on the electrolyzers.
Sanjay Shrestha: Sure. So again, we are looking at two very large projects here in the near-term. One is in Europe and one is in North America. And the project in Europe actually is going to final investment decision here by the end of the quarter. And look, it's a fully funded project, right, backed by a very large financial institution. So financing and the opportunity set of this project should not be a challenge. And next project in North America is actually related to big methanol opportunity. Again, there was already an offtake for that methanol opportunity. So in light of that, Colin, the biggest thing in this space, right, is before you get to FID, you got to secure that offtake, really get the financing structure looking a lot like solar and wind from an offtake standpoint. Both of the projects that we're looking at here in the first half of the year have that attribute. So we're really not concerned from an overall financing standpoint. We just want to make sure that we land the project. We've already done the basic engineering design package in this cases and looking forward to moving ahead with the customer.
Colin Rusch: Thanks so much. And then, on the material handling side, obviously, there was a lull in some of the spending in warehouse automation and some of the capacity getting digested in the warehouse space. Can you talk a little bit about what you're seeing from early indications? We saw some green shoots late in '24 on folks starting to spend again. But any material change in some of those spending patterns that you guys are seeing with some of those customers?
Andy Marsh: I think I'll give you one indicator, Colin, is that one of my largest customers put down money to be able to qualify under the old $48 million (ph) to support $200 million worth of business. I think that's a strong statement about their anticipated growth and expansion. We have both -- what we see and we announced, as you may remember in the fourth quarter, expansion with BMW in Germany, just to name a few of the larger customers. I can tell you that this announcement last night helps us with our customers. I checked in with some of our sales folks who I asked to reach out after market closed to let them know what we were planning to do. What I heard was, we're happy you're going to take the steps to reach profitability. We're glad you're focusing our segment and it makes it easier to do business in the future. So it's a -- these are very, very difficult decisions. But in the material handling market, we expect that this will be well, well received. I mean, if you take a look back -- and if you take a look back, Colin, I mean, I was just sitting here thinking about, Paul mentioned when you start thinking about the income statement level, depreciation was going to reduce $60 million. We're reducing our annualized cost between $150 million to $200 million. They're big steps to reaching profitability.
Colin Rusch: Super helpful, guys. Appreciate it.
Andy Marsh: Okay.
Operator: Thank you. Our next questions come from the line of Craig Irwin with ROTH Capital Partners. Please proceed with your questions.
Craig Irwin: Thank you for taking my questions. So Andy, I wanted to ask about the DOE, right, your loan package with the DOE. There's a lot of investors criticism out there and nobody's going to know but you guys about what's actually being discussed with DOE and what the changes are? Can you maybe share with us any content of communications with DOE over the last few weeks? Do you expect this team to continue to support the loan package the way it was written? Are there any changes or updates that you might want to share with us around the loan package that would help investors understand the opportunity?
Andy Marsh: Craig, there has been discussions with the DOE and we're pleased at a working level. The individuals we have been dealing with have remained at the DOE. So we're not going through the process of reeducating the team. I think that's a big positive. I know there's lots of noise, but I can tell you when I became CEO of Plug, the first thing I did was step back and try to figure out everything that was going on. We have had regular conversations with the DOE over the past month. I personally will be spending time with them this week. So from an engagement point of view, and look, we're in very, very red districts. We're in Texas where we're looking to build this. And I can tell you the local political teams, political folks in that region are strong supporters of this and are reaching out to make sure that this loan is executed on the deal that we came to. Look, obviously, things which are associated with more social oriented issues will be downplayed. During the call, I mentioned -- during the opening statement, Craig, I mentioned how our portion of the equity we already have with equipment, we do have a few funds who want to play side by side with us. I would expect that construction of this project will most likely happen in the fourth quarter and that you can say 18 months to 24 months before it's completed. And I know you didn't ask this question, but I do want to highlight. We learned a lot from building Georgia, how to build a plant. And I can tell you the Louisiana build was much, much simpler. We actually learned a lot and I don't -- I think the learnings we have as well as the cost reductions it will bring to the business will be really beneficial long term.
Craig Irwin: Excellent. Then, you touched on this in your response and it was going to be my second question. So outside investors for the Texas project, you've already obviously attracted some pretty interesting attention and orders from groups like Fortescue for your Gibson -- for their Gibson island project. Can you maybe frame out for us the character of outside investors that are possible there? I know there's some global funds that are pretty active in evaluating this opportunity that really want the opportunity to invest in hydrogen. But are we looking more at private equity or other institutional investors as probable partners on the Texas project?
Andy Marsh: We are looking at -- and Sanjay and Paul, jump in. I would define most of the folks looking at our infrastructure funds looking to invest. And look, they're looking to invest in a new segment where there's growth potential. And, we have a process that's going on. We've identified two or three folks that we've been talking to. And, I think that -- I think you'll be hearing more about it during the coming months. And look, I think your first question, Craig, is important to this discussion. Look, people want clarity what's going on with the DOE and that's part of the process in making sure that we can close these funds -- close with these funds in a timely fashion.
Craig Irwin: Thank you for that, Andy. And congratulations on the strong progress with your cash use. It's really pretty dramatic, the changes in this last year.
Andy Marsh: Yeah. Thank you, Craig. And we're looking -- we're going to continue to drive more to make sure, we're -- we have a strong financial position.
Operator: Thank you. Our next questions come from the line of Saumya Jain with UBS. Please proceed with your questions.
Saumya Jain: Hey, guys. Good morning. Yeah. So how are you looking at data center backup power generation? How do you see Plug benefiting from that in 2025?
Andy Marsh: To be direct, I don't see it as a benefit in 2025. Our view is that, when it comes to hydrogen, one of the biggest challenges to make sure that you can support long duration outages and that requires a great deal of hydrogen storage on site. We think that business opportunity is a '28, '29 opportunity. Really to be successful, we really think you need hydrogen pipelines that you can store hydrogen in. And there are some data centers in Europe that could make sense in the future. But I would not expect revenue from that segment of any size over the next two to three years.
Saumya Jain: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Bill Peterson with JP Morgan. Please proceed with your questions.
Bill Peterson: Yeah. Hi. Good morning, Paul, Andy, and team. Want to maybe take the applications question more broader than just the high power stationary. So I think at this symposium a few months ago, I guess you thought that the materials handling should probably go to 20%, 30% -- 20% to 30% year-on-year growth and now you're kind of expecting 10% to 20%. More broadly, I guess, over the next few years, what is going to drive the applications business? Is it going to be materials handling at this stage, given your comments around stationary power or at least a high power backup, maybe not viable in the next few years? And then mobility appears to be fairly challenged as well. So what's going to drive the applications business and what's the right way to think about the growth over the next few years?
Andy Marsh: Bill, this is a real important question. I kind of touched on all my remarks. But the material handling business, you have a -- Plug established, what I'll call a micro infrastructure that can support the customer's needs and so the value chain is clear. And you look at markets like on-road mobility and stationary, there's so many other items in the value chain that have to be implemented and be successful for those businesses to grow fast over the coming two to three years. So material handling is one that we can look at and say, the pieces are in place. It's also -- and you may have heard in my comments, when I talk about the electrolyzer market, it's not going to be folks who are going to dominate who are looking to drive mobility, it is going to be people who are able to put the end product, whether hydrogen or green ammonia or methanol or SAF directly into the value change without too much complication. I mean, I sat through a -- about three, four months, I sat through a McKinsey presentation in D.C., and I sat back and listened to it and said to myself, they had a matrix of how one should think about markets though they weren't talking about hydrogen, specifically, they were talking about the whole renewable world. And it really was kind of a clarifier to me that you need to develop focus on value chain. And look, our business will grow as we improve. If you're a customer, what's your biggest concern when it comes to Plug? You have a business that improves the productivity of your operation. You have a company that -- we have fixed the hydrogen issues and risks our customers may have. The biggest risk is, how will Plug perform financially? And the steps we've taken today will actually help us accelerate growth in the market. And I can tell you, I do know of some of our large customers, they're looking to accelerate their growth. If our numbers are lower today, Bill, look, we don't want to over promise. We want to make sure we deliver and so we want to set clear expectations. But I think we see a healthy market. It's why we're laser focused on material handling and why we're going to be laser focused on electrolyzers.
Operator: Thank you. Our next questions come from the line of Eric Stine with Craig-Hallum. Please proceed with your [Technical Difficulty].
Eric Stine: Good morning, everyone.
Andy Marsh: Good morning, Eric.
Eric Stine: Hey. So I can appreciate it sounds like not guiding to fiscal '25 and I know, Sanjay, you gave Q1, but maybe just some commentary on the year. I mean is -- should we expect this to be your typical mix first half versus second half? How do you expect the year to play out sequentially? Any details to fill that in would be helpful.
Sanjay Shrestha: That's right, Eric. Look, I mean, as you -- as I kind of touched on it, so Q1, you have seasonality, right? Then, we are looking at sort of the macro environment that's got a lot of puts and takes, if you would. And there is a benefit, however, though of some push outs from Q4 into Q1. So when you look at this $125 million to $140 million in sales, typically, Q1 has been 10% to 15%, but given some of the push out, you can probably imagine it's more like 15% plus in terms of the revenue mix, 15% to 20%. So in light of that, that's I think how you should think about the full year for the company at this point in time. And one other thing, we just want to make sure, as Andy touched on it, what we have the strongest visibility on is Q1. We're already obviously sitting here in the month of March. We will do the same thing when we report our Q1 earnings to give you the visibility on Q2. We're really focused on obviously driving that top line, getting the growth for the company in '25. But the bigger focus you can appreciate hopefully is on reducing cash burn, expanding margin, and really getting to that EBITDA break even territory as soon as we can as company.
Eric Stine: Yeah. No, I totally get that, but those details are helpful. And then, maybe a good segue just on the cost reductions in your plan here in 2025, I mean, you gave pretty good detail there. I'm just curious, how deep you see those. Is there more room to go if necessary? And how do you kind of balance that between as you said, I mean, you've got, even though now you're going to be more focused, material handling electrolyzers, hydrogen, still have a big growth opportunity. So how do you kind of balance your near term objectives while still being able to execute on those longer term growth plans?
Andy Marsh: So Craig, I do believe that the learnings you receive from deploying projects actually have large benefits to other markets. Nothing makes us better at deploying electrolyzers than the fact that we learned how to build plants ourselves. Nothing helps us better for markets that will evolve in applications like stationary than getting our quality and -- of our present fuel cell products better every day. So I think that, some folks -- I'm a power engineer by training and I think a lot like a power engineer about how things scale. But when you think about fuel cells, you're really thinking about probably two, three different power levels of fuel cells. But learnings at one level translates to the next. So we're -- look, we are making and focusing on activities that will make our financials stronger, which in the long run will really allow us to go into these other markets as they become available. So I guess that's, being successful now will help us a great deal in being successful in the future and that's the decisions we're making.
Eric Stine: Got it. And maybe I'll just sneak in one more, just for the $150 million to $200 million in targeted savings. Can you just give kind of the high level mix between cost of goods and OpEx?
Andy Marsh: I would say I'll let -- I'll take it quick. And Paul, correct me, if you disagree. I would probably say that it's almost 50-50 between COGS and OpEx.
Paul Middleton: That's a good proxy.
Andy Marsh: Yeah. Look, we haven't made -- we're obviously going through the process and I have to be respectful for our employees and others before I kind of say exact numbers.
Eric Stine: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of George Gianarikas with Canaccord Genuity. Please proceed with your questions.
George Gianarikas: Hi. Good morning, and thank you for taking my questions.
Andy Marsh: Good morning, George.
George Gianarikas: Good morning. I'd like to ask Andy about your view on the policy environment in Washington. It's clearly quite confusing and just curious as to whether you can share any details on conversations you've had or your view as to how the next six months or 12 months will look? Thank you.
Andy Marsh: So, we'd say, it's obviously evolving environment and I'm going to be spending some time in D.C. later this week. When I look at the history of fuel cells in hydrogen, the supporters of it, the last time we had a real major fuel cell only bill to support the industry actually happened under President Trump and a pure Republican Congress. I can tell you last week, there was a bill introduced by Representative Tenney, who -- she in a very, very red district, supporting fuel cells and it was her second bill that she introduced in this Congress. I think that -- look, I've been pretty clear about the fact that we felt that the previous administration implementation of the IRA, especially, when it came to hydrogen tax credits was rather disappointing. And we kind of view the new administration as more business oriented and hydrogen is actually supported strongly by the oil and gas industry, which is beneficial. I suspect there'll be ups and downs. But look, I think this is real important. There is a global market for green ammonia, green methanol. There's needs for hydrogen here in the United States for applications like ours, that's not going away. And this administration is looking for the U.S. to be energy dominant. And to be energy dominant, you have to meet where the world sees demand and where the world sees new demand. And it is in SAF, it is in green ammonia, it is in green methanol and that's not going to change. So I think it's really important for U.S. to make sure that China doesn't dominate these industries long term. And I think many, many people in the House, in the Senate, as well as the DOE understand, Bergman, I think everybody knows was one of the biggest proponents of the hydrogen hubs. I think it just -- I know this is a long answer, but I think it just needs to settle down.
George Gianarikas: Maybe as a follow-up, I'd love your thoughts also on what's happening in Europe too? Thank you.
Andy Marsh: If I look at Europe, the -- it's one of the reasons I think Sanjay is so positive about the electrolyzer market. So much of what we're working on, for example, is in the hydrogen hubs, Hydrogen valley in Spain, where there's strong, strong support for build outs and deployments. I think that where you're going to see and I think you're going to see Germany continue to support hydrogen deployments. Obviously, the geopolitical tensions at the moment makes things a little tense. But look, even long-term, we have a panelist who helps us in Europe, who was an ambassador to the EU, told us there could be huge, huge opportunity for projects and deployments like we do in Ukraine once all this is calmed down. So I think, Europe is -- there's certainly lots of nuances with Europe, but you can look at Spain and can see what's going on and say, hey, this is really good for Plug Power. I think you can say the same about Australia. And I think these are markets that are going to be the heart of our electrolyzer business. And look, you've heard our announcements in Portugal, for example, with GALP, what we're doing there with what we're doing with Iberdrola in Spain. These are projects that are going in the ground now to support the economy, and all of them are supported by the governments at some level.
George Gianarikas: Thank you.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Sherif Elmaghrabi with BTIG. Please proceed with your questions.
Sherif Elmaghrabi: Hey. Good morning. Thanks for taking my questions.
Andy Marsh: Good morning.
Sherif Elmaghrabi: Good morning, Andy. The Georgia ITC transfer is pretty interesting. Are there other piecemeal opportunities to pull cash out of existing equipment, either Georgia or elsewhere? And is there a reason you recognize the ITC on that particular liquefier rather than the entire plant?
Paul Middleton: Yeah. Andy wants me to answer that one. So this is Paul. The short answer on the first part is, yes. We have as an example, when we turn on our plant in Louisiana, there'll be a ITC credit there associated with the liquefier as well that we can take and we'll share with our joint venture partner there, that could be similar size to what we recognized in Georgia. And then we have some additional assets that we've deployed last year for PPA opportunities that there's ITC benefits on that is probably in the 15 million to 20 million range that we're out. We're actually working pretty closely right now to closing in the near-term on both of those opportunities. So that's meaningful and helpful in terms of the cash. And then, on the answer on Georgia is that there's a decision to make on the balance of plans as to whether you take PTC or ITC. We've decided to take the PTC benefits. We've recognized those in our results last year. And, we're going to continue to do that. Any plant that we put in place, we go through a cash benefit analysis as to is it better to take the ITC or to do the PTC. And it's -- there's many factors that fall into that. And -- but that's the choice that we have. So that's where we stand on that for the Georgia plant.
Sherif Elmaghrabi: Thanks, Paul. I realize that was a two-parter, so thanks for taking my questions.
Paul Middleton: You're welcome.
Operator: Thank you. Our next question comes from the line of Chris Tsung with Wolfe Research. Please proceed with your questions.
Chris Tsung: Hey. Good morning, Andy, Sanjay, and Paul. Looking at your...
Andy Marsh: Good morning, Chris.
Chris Tsung: Hey, Andy. Looking at your care, are there -- just wanted to check, are there new conditions that you need to satisfy in order to receive the DOE loan?
Paul Middleton: I'm not sure. There's not new conditions. The loan was finalized in early January. The only thing that we have to do is, and it's approved, the way it works is the loan itself has been papered, documented and approved. Everything's there. To apply the first project, which is Texas, there's some specific things that we have to put in place in terms of like direct agreements between the DOE and the EPC contractors. An example is just one microcosm example. So those are things that we're working on. We're really close. And they're not necessarily additional conditions that make it -- any obstacle is just really -- unfortunately, the parties that work on these things that we're working with have done many other deals with the DOE, so they're used to working with the DOE on these kind of ancillary agreements. And so it's more just, I would say, for lack of better words, the bureaucracy of just putting crossing the T's and dotting the I's and putting all those residual components in place to officially kick-off Texas as a project underneath that structure.
Chris Tsung: Great. Thanks, Paul. And just for my follow-up, on that loan, how much are you requesting as part of the first drawdown? And did you – sorry, if I missed this earlier. Did you say you're expecting proceeds in Q4 or is that when construction is expected to restart?
Andy Marsh: So we would -- I would think that Q4 is my best estimate when construction would start. Paul, maybe you can go through the process of how you pull down cash.
Paul Middleton: Yeah. So the way it'll work is, when we get the project approved and kick-off the effort there, which is really getting the EPC guy going again, EPC contractor going, which as Andy said, tentatively would be -- we're thinking would be probably in the fourth quarter. In the first month what happens is, you compile all of the anticipated invoices each month that you expect to pay as part of that project, and you submit that to the DOE and then they advance money against that. So that's -- we're going to get credit for our equipment that we've contributed to the project, and then they will front money to pay the majority of the bills that we have to pay to construct that project as we move forward. So that's how practically it works.
Chris Tsung: Appreciate it. Thank you, guys. I'll turn it over.
Paul Middleton: Thanks, Chris.
Operator: Thank you. Our next question comes from the line of Tim Moore with Clear Street. Please proceed with your questions.
Tim Moore: Thanks for taking my questions.
Andy Marsh: Good morning.
Tim Moore: Good morning. The important watchpoint by investors is the positive gross margin inflection point that investors have been eagerly waiting on. You made some really good progress announcing the cost savings plan. I think your prior guidance at the symposium was the expectation back then was to maybe be slightly positive gross margin exit rate for the year. I'm just wondering now with the significant cost savings plans being rapidly implemented, do you think that exit rate still holds, or do you think you could pull it off in the third quarter for maybe positive third quarter gross margin?
Sanjay Shrestha: I mean, Tim, our goal is always hopefully trying to do things sooner rather than later. But look, given everything and all puts and takes, I think it holds in terms of Q4 of 2025 as a good target that we are looking to turn gross margin positive.
Tim Moore: Great, Sanjay. That's helpful. And the other question I had just on a different topic. Maybe can you speak to maybe the liquid hydrogen appetite and the sentiment? The H2 Hubs network rollout is a little bit behind schedule. Just can you give any color or stories on progress there with some customers and green shoots for takeaway from your production facilities?
Andy Marsh: No. Look, I think the hubs will develop. I never thought the hubs would develop that fast. If you looked at the funding for the hubs, it was years of study and implementation, and that was even under the previous administration. We never -- and I think if you even go back to previous conference calls, we never expected significant near-term or even midterm revenue from the hubs. I think hubs implementation would help the hydrogen industry later in this decade and that's always been our view. And they're just -- I would say this, they never really had a very fast schedule and I don't see them being meaningful to us over the next two to three years. But if implemented, not only is it a sales opportunity, but really helps to build out the larger hydrogen economy. So we're supportive but probably are not stunned that they have not accelerated as fast as people may have thought. But also quite honestly, they're accelerating at a pace that the government actually laid out there. So that's kind of our thought process there.
Tim Moore: Great, Andy. Thanks for that and that's it for my questions.
Andy Marsh: All right.
Operator: Thank you. Our next questions come from the line of Samantha Hoh with HSBC. Please proceed with your questions.
Samantha Hoh: Hey, guys.
Andy Marsh: Good morning, Samantha.
Samantha Hoh: I hate to bringing it back to -- hey, Andy. You mentioned a few times about the Texas plant being a very red district that's very pro hydrogen. And the one thing that's really striking me is just how much support the state of Texas has for hydrogen. Like, enthusiasm overall actually is quite palpable. Has there been any conversation in terms of Texas funding in any sort of stimulus or what type of initiatives that they can provide to get the industry -- hydrogen industry really more competitive or just accelerating all the developments there, if the federal government does kind of pull back on their support?
Andy Marsh: I have not -- I will be meeting with people from the Texas delegation this week. I know I have not seen anything. We do have people in Houston. I have not seen anything to date where the Texas delegation can help us the most. And the Texas government is to help move things through the DOE quicker as they learn. And I think you see both representatives and senators willing to help in that area.
Samantha Hoh: Okay. I guess the other thing that I'm kind of curious about is with like potential monetization of the PTC. I realize that, there's still a lot of questions as to what's going to happen with like a potential tax plan ultimately. But what sort of conversations are happening behind the scene in terms of opportunities, potentially monetize those once we have greater clarity? And then I guess what are your thoughts in terms of how quickly that could? Like, what kind of milestones should we be looking at? Like, how quickly can anything on that side that should occur?
Andy Marsh: Do you want to take that, Paul?
Paul Middleton: Yeah. So I guess there's two facets. One is, practically the way it works is, when you file your tax return, it's a direct pay associated with that. So worst case, we file in October like other corporates that are calendar years companies and they pay from that. What we are working with is, the tax equity broker that we used to close the ITC sale in Georgia to see if there's parties that want to discount that. It's only a few months, but it can be meaningful to us to discount and sell it off. The good news is, we have tax opinions from a reputable big global tax firm, and all of the analysis and things that we need to put that package together and make it a very attractive opportunity to sell it off. And when we establish that, it makes a decision easier to do that for this year and start taking advantage of this year, monetizing this year's as well. So it's a work in process and it's still new. Like any new market opportunity, it takes some time to kind of nurture through it. But we're pretty actually encouraged with the interest level and how we're postured to try and possibly monetize that.
Samantha Hoh: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal: Thank you, and good morning, everyone.
Andy Marsh: Good morning, Amit.
Amit Dayal: Hey, Andy. Just with respect to sort of the macro environment right now and how you're providing guidance, [Technical Difficulty] much of the sales pipeline that was built up until say 2024 is still valid? Can you give us a sense of how that aspect of the execution may have changed a little bit?
Andy Marsh: You want to take that, Sanjay?
Sanjay Shrestha: Sure. Happy to. Hey, Amit. How are you? A couple of things on this, right? So our electrolyzer business in 2025 largely is executing on the existing backlog, that really hasn't changed, right? We're hopeful that we might even be able to do slightly better than that. But it all really comes down to executing on the backlog. And just to put this in context, I mean, electrolyzer business grew about 60% -- more than 60% year-over-year from '23 to '24. We wouldn't be surprised if it's a similar growth rate again in 2025. Now, another piece of our business, which is largely backlog driven as well is our cryogenic tanker and trailer business. We look that business slowed down a bit year-over-year from '22 to '24, largely because of some of the push out, some decisions even we made on the mobile refueler space, even the collection situation and things like that. So that business, I think, again will grow back up here in 2025 versus 2024 from a revenue standpoint. So short answer to your question, we really don't think there is any risk to that existing backlog. Obviously, we're going to want to book more business here. But one very important point to highlight here is, we talk about potential for pretty big bookings in the electrolyzer business. Those bookings will really help '26 and beyond, not so much 2025 given the size of the project and when they move and things along those lines. But otherwise, look, we feel pretty good about the existing backlog. It's all about heads down and execute.
Amit Dayal: Thank you, Sanjay. My other questions have already been discussed. I'll take my other questions offline. Thank you.
Andy Marsh: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Ameet Thakkar with BMO Capital Markets. Please proceed with your questions.
Ameet Thakkar: Hi. Good morning. Just one quick one for me. Given kind of your kind of path here to positive gross margins at the end of the year and the cost cutting, I was just wondering if you could kind of share with us what your plans are in terms of kind of relying on some of the facilities you have for external equity. How much is kind of baked into the year for that? Thanks.
Andy Marsh: So, I would just say that we have not used any of that since mid-November, any of those facilities. And there is a backdrop to support the business if required.
Amit Dayal: You have utilized the convertible facility, right, for like, I think, let's say two issuances of $22.5 million in, I think, the first two months of the year. Is that separate from that?
Andy Marsh: Yeah. That's actually just payback. Instead of selling stock, we actually execute it by providing cash. Do you have anything else to comment, Paul?
Paul Middleton: Yeah. No, I think just for clarity. So we -- the convertible that we did, the preferred convertible, we did in November, there's been two elements. One is, we had some amortization on that, and then because the stock price hit $2.90, they did convert, I think it was like 10 million shares. But to Andy's point, we have not used either of the ATM facility or the recent SEPA agreement with Yorkville. So, we sit in a good position with ending $200 million in cash end of the year. And, things like the ITC help bring in liquidity. We also get the restricted cash at $50 million a quarter that comes in, in March. So there's a lot of positive things that are helping us navigate this fiscal year.
Ameet Thakkar: Thank you.
Operator: Thank you. Our next question comes from the line of Kashy Harrison with Piper Sandler. Please proceed with your questions.
Kashy Harrison: Good morning, and thanks for taking the questions.
Andy Marsh: Good morning.
Kashy Harrison: Good morning. So my first question is on Georgia. You've now had it running for around a year. Just curious where run rate utilization is on the project and how long it took to get there. And the same question for cost of goods sold. I think you guys were thinking about maybe $4-ish per kilo of production costs. But I'm just curious where actual results have landed relative to those expectations.
Andy Marsh: Do you want to take that one, Paul?
Paul Middleton: Yeah. I'd say, as you ramp and commission the plant, obviously the cost per kilogram is higher than what you expected. As we've gone through the year and really worked out the bugs and figured out how to run that plant more smoothly, you get the leverage on it, right? And so, I'd say, we're kind of in that $5-ish kilogram range…
Andy Marsh: Before the PTC.
Paul Middleton: Before the PTC, that's right. And obviously, PTC is super helpful.
Andy Marsh: Which gets it down to the 250 (ph) type range.
Paul Middleton: Exactly. So that's kind of where we're sitting at the moment. And we expect to take the pull. This year will be really good because we'll get the full year benefit of that whereas last year you only got a portion of that because the timing of turning on the plant and the periods of time that we were ramping up that facility.
Kashy Harrison: Got it. And sorry, where is the utilization?
Andy Marsh: Utilization is, we can run it full production. So, it's just based on demand. And so we need to run 15 tons a day. We will run 15 tons a day. I think most days are in the 11 tons to 12 tons per day range.
Kashy Harrison: Got it. Helpful. And then my follow-up question is, just thinking about just forward capacity. I think you talked about 39 tons per day of current capacity, current demand. I believe at 55, you're working on bringing Texas online, which is 45, so you'll have excess capacity once Texas comes online. Just given all the comments around, the slower market development than you anticipated, just wondering where you're envisioning sending those excess volumes to? Thank you.
Andy Marsh: Not exactly wanting to provide information about who we're competing against and where we're looking to provide it. What I would say is, we have a strong sales funnel and a strong sales team working those opportunities. There's big market already for liquid hydrogen. And we have opportunities for people who already buy liquid hydrogen at scale, who are very, very interested in buying scale out of Texas.
Sanjay Shrestha: Yeah. And Andy, maybe one more thing…
Andy Marsh: Yeah. Go ahead.
Sanjay Shrestha: Some of the players have decided they're exiting the green hydrogen space as we bring some of these other plants online. And demand for green hydrogen is a long-term in nature. So that I think puts us in a pretty good position as well. Just to reiterate, as Andy said, look, we even have some discussion with existing industrial gas customers to do swap arrangement.
Andy Marsh: Yeah.
Sanjay Shrestha: It's all about if you have a plant in California, if you have a demand in the east coast or in the southeast, right, then that's where you end up doing a lot of swaps. So look, we work very closely together with many of them and as Andy said, we feel pretty good about demand being there even as we bring our Texas plant online.
Kashy Harrison: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Percoco with Morgan Stanley. Please proceed with your question.
Andrew Percoco: Great. Thanks for taking the question. Good morning, guys.
Andy Marsh: Good morning, Andrew.
Andrew Percoco: Good morning, Andy. Maybe just to start out, coming back to the DOE loan for a second, I think in the press release you guys cited $400 million of coverage from the DOE loan on $600 million of incremental investment. I mean, that implies about two-thirds coverage on an advance rate. I think you guys had previously talked about 80% advance rates on the DOE loan. So just curious what the delta is there and if there's been a change in maybe the advance rate assumptions that you're having on that facility.
Andy Marsh: Go ahead, Paul.
Paul Middleton: Yeah. There's no change. It's up to 80%. And the dynamics on each project will vary based on the size of the plant and other factors. And we also have some of that is a decent amount of contingency in those assumptions. And so, obviously with the learnings that we've had in Georgia and now Louisiana, we hope that feel like that we're in pretty good position that, we won't use all that. So that's the -- I guess the dynamic, Andrew, in terms of how it plays.
Andrew Percoco: Okay. That's helpful context. And maybe just sticking with CapEx for a second. You quote $250 million that you've already spent on the project, another $600 million that you need to spend gets you to about $850 million all in on a 45 ton per day plant. And if I just do that conversion, it implies like $19 million to $20 million of CapEx per ton per day of production, which I think is actually a little bit higher than Georgia. So just curious, can you just maybe walk through some of your assumptions there? I guess I would have thought it would be lower than Georgia just given some of the learnings that you guys have discussed. So any color there would be helpful. Thank you.
Andy Marsh: I don't know if the math is right, but Georgia will come in around $800 million with contingency and the contingency is probably 10%, 15%. And so, there's built in contingency in that Texas number. So, overall, I think before the contingency, it'll come in around $700 million.
Andrew Percoco: Okay. Thank you.
Andy Marsh: Okay. Thanks, Andrew. And I think that's it for the day, Teal. Well, thank you everyone for joining the call. And look, we're making the tough decisions to make sure this business is successful long-term. We're laser focused on material handling and hydrogen to support it, which will really help us grow the market long-term. We're laser focused on electrolyzers and especially those applications which can be deployed rapidly. We're making some tough decisions to cut costs and make sure the company can achieve our EBITDA and gross margin goals. So thank you everyone for joining. I appreciate the time. Bye now.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.